Nick Brown: Hello, everyone. It's Nick Brown here from Altice USA. Thank you for joining, and apologies for the slight delay. We had a technical difficulty of our operator. In a moment, I'll hand you over to Altice USA's CEO, Dexter Goei; and our CFO, Mike Grau, who will take you through the presentation, and then we'll have time at the end for Q&A. As today's presentation may contain forward-looking statements, please read the disclaimer on Page 2. Dexter, over to you.
Dexter Goei: Hello, everyone. I'm going to start today by summarizing the Q3 results and then provide an update on our strategy and accelerated investment plan. Starting on Slide 3. Revenue growth in the third quarter was 5.8% year-over-year, with continued strong recovery in News and Advertising and Business Services. Adjusting for anticipated regional sports network credits, which impacted revenue last year, revenue growth was 2.3% this quarter. Further adjusting for an incremental $69 million of AirStrand revenue which was recognized in Q3 for early termination of a backhaul contract, revenue growth would have been closer to flat for the quarter. Broadband customer net losses were 13,000 in Q3, which is a bit better than I previewed in September, as we finished the quarter better than expected and puts us approximately flat for the year. As I will go deeper on our plans to return to growth later in this presentation, I do want to reiterate here what we believe is just a temporary customer loss driven by a couple of reasons. First, we're still operating in an unusual environment where the effects of the pandemic have not yet fully normalized, particularly in our unique Optimum footprint surrounding NYC. Second, going forward, we'll see some more benefit from our accelerated pace of footprint expansion, Optimum fiber upgrades and additional Suddenlink network upgrades. Back to the numbers, adjusted EBITDA grew 3.4% year-over-year with a margin of 45.2%. We delivered another strong quarter of free cash flow at $389 million and just over $1.3 billion year-to-date. And as I previously flagged, we reduced the pace of share repurchases in Q3 to $79 million as we are shifting to invest more aggressively for growth, now targeting up to $1 billion of share repurchase for the year. We have also updated our financial outlook for 2021. We still expect to grow revenue and EBITDA. For CapEx, we now expect to be at the low end of our prior guidance range at $1.3 billion, which is consistent with the free cash flow for the year of approximately $1.6 billion and net leverage of 5.4. Looking at our Q3 revenue growth in more detail on Slide 4, you can see the adjustments I mentioned for the quarter and year-to-date more clearly. Recall last year, we booked RSN revenue credits of $79 million in Q3 and a further $19 million in Q4 relating to rebates from the RSNs, primarily due to a shortened baseball season during the pandemic. Residential revenue grew 2.2% in Q3, but declined 1.9% adjusting for RSN credits. Business Services grew 21.7% in Q3 on a reported basis. However, excluding the RSN credits and $69 million of AirStrand revenue I mentioned, Business Services was up 2%. Note, we expect to record approximately $30 million of additional AirStrand revenue in the fourth quarter related to the same contract. Finally, News and Advertising grew strongly again, up 15.7% in Q3 supported by strong recovery across local, regional and national advertising. On Slide 5 now focused on our Residential business. We reported a net loss of 25,000 residential customer relationships in Q3 and a broadband net loss of 13,000. As I flagged in September, we saw fewer gross additions than usual in the back-to-school period and move churn remained elevated in our footprint during the quarter. If the level of gross additions and move churn was more in line with the third quarter of 2019, we estimate we'd have shown positive broadband net additions much closer to 2018 and 2019 levels. Additionally, in the quarter, we disconnected about 3,000 customers that were previously affected by the prior hurricanes in the Gulf Coast as some customers here have never returned. I want to highlight that we have seen growth year-to-date at Optimum in non-Fios areas and across Suddenlink, which has been consistent with 2018 and 2019 levels. Where we're seeing losses is only in Optimum areas where we overlap with Fios, so we're focused on addressing this isolated issue. As things stand, we still expect to return to broadband customer growth in Q4 and therefore, grow slightly for the full year. Turning to Slide 6 on Business Services. Revenue trends continue to recover as SMB customer growth has been stronger this year, reporting at plus 2.6% growth in Q3, excluding AirStrand revenue. So you can see we're building back up to pre-pandemic levels of growth. Business reopening activity has been accelerating as vaccination rates increase and community restrictions continue to relax. We are also seeing retail and commercial office space vacancy rates continue to improve as well as schools reopening. With respect to Lightpath, we saw a slight decline in the quarter of less than 1% as the company saw some onetime legacy contract renewal impact. But as we've announced Lightpath's entry into several new markets recently, we expect the newly expanded sales team to deliver an acceleration of growth here in the coming quarters. On our News and Advertising business on Slide 7, we saw strong growth again this quarter, up 16% or almost 22% ex political revenue as we continue to annualize the negative impact from the pandemic last year. Local, regional and national advertising markets all continue to recover, which we expect to continue. One notable exception is the auto segment where there is some market pressure. Ex auto, our News and Advertising revenue was up 37% versus Q3 2019 levels. While we continue to expect advertising revenue to decline in Q4 given the tougher political comparison, we now expect revenue for the full year will be slightly up on a year-over-year basis given our performance to date has been ahead of our initial expectations. On Slide 8 is an overview of strategic measures we are announcing today to enhance the company's network, product portfolios and customer experience on an accelerated basis. First, we are significantly accelerating our fiber network rollout. With a more differentiated broadband service, we expect to drive higher gross additions and help reduce churn given the reliability of the fiber network service. So our long-term network maintenance and technical service costs should also fall. We are further accelerating our new build activity, edging out the Suddenlink footprint to drive customer growth. In the near term, to support the return to broadband customer growth ahead of getting the full benefit of our accelerated network benefit, we have rolled out new, more competitive offers recently where we're starting to see traction. We are accelerating investments in mobile and converged offerings, which will be available from early next year and will help improve broadband customer churn as well. On the customer experience side, we're looking to expand sales and distribution channels to pre-pandemic levels to support additional customer growth. And more generally, we're making investments to improve the customer experience, including reorganizing our call center setup. Lastly, as we start seeing more material improvements in our operational performance based on the above initiatives, we will pull the trigger on rebranding Suddenlink to Optimum to drive a consistent marketing message and customer experience across the country. Before digging into some of the strategic initiatives in more detail, I want to give an updated snapshot of our footprint on Slide 9. We have a total of 9.2 million passings across 21 states with Optimum legacy Cablevision businesses in the New York tri-state area representing about 2/3 of our total footprint. We compete with Fios across the majority of our Optimum footprint. This is where our FTTH rollout has been focused so far and you can see from the zoomed-in lens, we've covered about 25% of the Optimum footprint with fiber now. We have upgraded the rest of Optimum to DOCSIS 3.1 hybrid fiber coax that offers up to 1 gig speeds, and the plan is to expand the FTTH rollout to many of these areas as well. Furthermore, within this footprint in New York and New Jersey, which are our largest states from a customer perspective, remember, we were disproportionately impacted in the last year by their respective executive orders, which were pandemic-related regulatory programs restricting us from normal disconnect policies, but we're back to business as usual here now. Texas is our third largest state and also represents the majority of Suddenlink business. Here, we have been focused on new build activity, including expanding into 3 of our top 5 fastest-growing communities in the country. Household broadband penetration across the Suddenlink states is also below the national average at about 80% versus just over 90% in the New York tri-state area. So this is our biggest growth opportunity today. Finally, it's worth noting that North Carolina is now our sixth largest state following the Morris Broadband acquisition, which is making way for much more new home build opportunities as well. Turning to Slide 10. I first want to summarize how our prior network upgrades since we've owned the Optimum and Suddenlink businesses over the last 5 to 6 years has significantly widened availability of higher broadband speeds. When we started, very few customers had access to speeds greater than 100 megabits per second. But as of today, 1 gigabit speeds are available to 92% of our footprint. This has helped drive an increase of more than sevenfold in the average broadband speed taken by our customers from less than 50 megabits per second at the end of 2015 to just under 350 megabits per second today. Our 1-gig penetration has now reached 13%. But given that our 1 gig sell-in to new customers where it is available is almost 50% right now, this represents a significant growth area for us. About half of our customer base still only take speeds of 200 megabits per second or lower, so we have a lot of runway here, too. And clearly, as our FTTH coverage expands on an accelerated basis and we make multi-gig services available, we expect the average speed taken by customers to continue to step up materially beyond what our competition can offer today. On the left of the slide, you can see we are on track to reach 1.5 million FTTH passings by the end of this year, which is an increase of over 500,000 year-over-year with customer fiber penetration right now at about 5%. Remember, we saw a slowdown in our FTTH rollout last year due to pandemic-related restrictions, but we're looking to significantly catch up next year with a target for an additional 1 million new fiber passings to reach 2.5 million fiber passings by the end of 2022. This includes continuing to upgrade areas where we overlap with Fios as well as completing the vast majority of Connecticut by the end of next year. Additionally, we're planning to expand our fiber investments into areas of Suddenlink with approximately 100,000 homes targeted for fiber upgrades next year. On the right, you can see we're on track for at least 150,000 new homes built this year, mostly edging out around Suddenlink footprint with Morris Broadband inorganically adding another 90,000 passings. We are still achieving above 40% penetration after the first year of expanding our network into new areas so it makes sense to push harder here in adjacent areas as a great driver of our new customer growth. Right now, we're targeting an additional 175,000 plus passings in 2022. Separately, we are continuing to upgrade existing HFC homes in the Suddenlink footprint in areas where customers previously only received a maximum of 150 megabits per second, taking this up to either 400 megabit or 1 gig. We're on track to deliver over 300,000 upgraded homes here by the end of the year, at the higher end of which we were targeting, and we've already commenced additional upgrades which will complete next year. Moving to Slide 11. Last month, we announced a new sales approach with our Optimum FlexAbility offers. New and existing Optimum and Suddenlink customers now have the freedom to pick and choose the Internet speed, TV package or mobile data plan they want. Whether selecting a single service or adding together multiple services, customers can change their services at any time, whether they need to adjust their Internet speed, TV lineup or mobile data plan. We've also simplified the pricing and bill with no extra fees and no annual contracts. And most recently, we've been bundling free streaming services such as HBO Max with our Optimum Stream product and offering more generous gift cards on promotions to be more competitive. While these new offers may weigh on ARPU growth near term, we believe this will improve our product positioning, value proposition and customer growth. Optimum Mobile has approximately 181,000 mobile lines as of the end of September, reaching 3.9% penetration of Altice USA's residential customer base, with revenue in Q2 up 3.9% year-over-year. We expect to reaccelerate growth here more materially from the beginning of next year as we launch more integrated converged offers and deploy more marketing dollars. Slide 12 illustrates clearly how we pulled back on sales distribution channels during the pandemic necessitated by stay-at-home orders and social distancing protocols, but in retrospect, we've been too slow in getting back to pre-pandemic levels here. We estimate this has cost us about 60,000 in gross additions this year when we compare to what these channels delivered for us in 2019, which likely means we could have seen growth in customers instead of losses this quarter and mitigate the various headwinds we've seen. On the left, you can see we're targeting approximately to double the number of door-to-door sales representatives we have in 2022, up to 400 to 500. And on the right, you can see we're looking to add approximately 50 to 75 new retail stores in 2022, which is also a key driver of mobile sales in the U.S. Speaking more broadly about customer experience improvements, we're making additional investments into our call centers and field services to reduce friction points in customer interaction. Once we are happy and seeing significant improvements in our operational performance and customer experience, we will move ahead with the rebranding of Suddenlink to Optimum. All of these strategic initiatives are areas that I and the telecom leadership team have been spending a significant amount of time on reviewing, and I'm very optimistic about our ability to execute against these targets. And with that, I'll now hand this over to Mike to go over financials and outlook in more detail.
Michael Grau: Thank you, Dexter, and good afternoon, everyone. Thanks very much for joining us today. Turning to Slide 13. You can see our adjusted EBITDA margin was 44.2% year-to-date or 45% ex mobile, which is slightly ahead of 2019 levels. Remember, we did have some temporary savings last year, so 2019 is a better comparison. Our EBITDA less CapEx or operating free cash flow margin of 33% year-to-date was also ahead of 2019 levels, although slightly below last year, driven by increased network investments. I should highlight that some of the areas Dexter mentioned where we are increasing investment will include higher operating costs as well as higher CapEx, which will likely negatively impact margins in 2022 to drive better customer growth and higher medium- to long-term revenue and cash flow growth. We expect to give more granularity here with our full year results as we are just finalizing our budget right now, but we are taking measures to mitigate the impact on 2022 EBITDA and leverage to support this higher investment as we believe it's the right thing to do for the business. On Slide 14, you can see our capital intensity was 12% this quarter and 11.2% year-to-date. Without fiber and new home build growth investment, this would have been closer to 7% in Q3. Dexter outlined the main components of our increased CapEx target in 2022, which totals between $1.7 billion and $1.8 billion on a cash basis, including $300 million of additional FTTH CapEx and $150 million of additional new build CapEx. For 50 to 75 new retail stores, this will cost approximately $50 million of additional CapEx next year. We still see the same opportunity to reduce CapEx longer term once our fiber build is complete. We're just trying to get there quicker now. Slide 15 highlights the annual free cash flow trend. We had another strong quarter of free cash flow generation in Q3 of $389 million, reaching over $1.3 billion year-to-date. And we've given a new free cash flow target of $1.6 billion for this year. Remember, we have exhausted our tax NOLs, so cash taxes have been higher this year and our CapEx increased year-over-year given the restrictions we had in 2020. Looking forward, it is likely free cash flow will be lower again in 2022 with the accelerated investments that we're planning to drive growth. But thereafter, we remain confident in our ability to grow free cash flow again through EBITDA growth, reduced CapEx and lower interest costs. Slide 16 shows our CSC Holdings leverage trend since the acquisition of Cablevision completed in mid-2016 when net debt to EBITDA was closer to 7x. You can see we've been trending to our 4.5x to 5x leverage target in the last few years with a couple of exceptions being the $1.5 billion dividend we paid in mid-2018 in conjunction with the spin-off of Altice USA and the $2.3 billion tender offer at the end of last year following the Lightpath minority stake sale. We remain committed to reduce leverage to this target range even as we are accelerating investments to support all of our key strategic initiatives. This will include reducing the pace of share repurchases and paying down debt in the next year as we showed in Q3. That said, it is worth noting that our balance sheet right now is in really good shape. As of today, our $2.5 billion revolving credit facility is completely undrawn, so we have a huge amount of liquidity on top of our very healthy level of free cash flow generation. The weighted average of our debt is currently 6.4 years and our weighted average cost of debt remains at 4.7%. We have no annual bond maturities greater than $1 billion before 2025, all of which could be covered by either free cash flow generation or capacity from our revolver. We will continue to proactively and opportunistically manage our liabilities in the same way as we've done in the past and still see plenty of additional refinancing opportunities. Lastly, on Slide 17, we summarize our updated financial outlook. We still expect to grow both revenue and adjusted EBITDA for the full year. Our medium-term leverage target, as I was just highlighting, remains unchanged at between 4.5x and 5x. However, in light of our slower-than-expected customer growth, we are now likely to land at 5.4x at the end of this year, in line with the current level. We expect cash CapEx for 2021 to come in at the lower end of our prior guidance range at $1.3 billion before increasing to between $1.7 billion and $1.8 billion in 2022 to support our accelerated investments. Our free cash flow target for 2021 is $1.6 billion. And we've reduced our share repurchase target to less than $1 billion in 2021, having acquired just over $800 million year-to-date to accommodate higher near-term investments in the business. As Dexter has commented previously, we will look to be opportunistic as it relates to use of excess free cash flow, including in the way we evaluate any potential additional share repurchases. And with that, we will now take any questions.
Operator: Your first question comes from the line of John Hodulik with UBS.
John Hodulik: Okay. Two questions, if I could. First, just I guess, Dexter, I know you want to hold off on giving guidance until the fourth quarter. But just maybe at a high level, could you talk about the ability of the company to grow EBITDA next year? You've got a lot of spending in front of you. And obviously, it's going to take time for those revenues to restart. So just if you can, anything you could say on that would be great. And then to your point on ARPU, I think at a recent conference, you talked about the change in ARPU trends. And we've seen the high-speed data ARPU slow down over the last couple of quarters. And with the new pricing, do you expect that trend to continue? And there was actually a sequential decline in high-speed data ARPU. Do you think we're going to see, as we look into fourth quarter and 2022, high-speed data ARPU actually going negative on a year-over-year basis?
Dexter Goei: John, on the first question, we are going to give a lot more guidance as we're right in the middle of our budget process right now as we talk about fourth quarter earnings. But it's probably safe to say as we look at this, given the more one-off nature of the AirStrand revenue and some increased expenses going into next year that we will see some decline in EBITDA. On the ARPU question, listen, we're not necessarily hyperfocused on the levels of data ARPU here. What we've seen is with our -- even with our more aggressive pricing since just after Labor Day, our gross add ARPUs have been just slightly down relative to our historical levels over the last 12 months. And so we're seeing people spend more. The attachment rates have been good on video. And we're seeing the tiers in terms of speeds, people taking higher speeds than entry levels. And so we feel good about the continued levels of sustainability of our existing ARPU levels. And given the road map of our product on data as well as the fact that 50% of our customers still are at 200 megabits or less, we think we'll continue to be able to grow our high-speed data ARPUs.
Operator: [Operator Instructions] Your next question comes from the line of Brett Feldman of Goldman Sachs.
Brett Feldman: And thank you for giving us so much transparency here on what you're looking to do. I'm sure you expect that as you execute against this, there's going to be an opportunity for the market to sort of revisit how it's looking at the stock. But Mike, as you pointed out, the company still has a lot of liquidity and a lot of flexibility in the balance sheet. Dexter, previously, you had indicated that you were also thinking about ways to use that balance sheet to drive shareholder value other than just through executing against strategic initiatives. So I was wondering if you can maybe give us a little more insight into how you're thinking about that, including some specific things like maybe going private, which you had alluded to before? And whether it makes sense over the long term for this collection of assets to stay together? Or whether you think you might be able to open up shareholder value by revisiting that?
Dexter Goei: Brett, I think, listen, I think the management team and the Board is singularly focused on operations right now and making sure that we're being thoughtful around our balance sheet no matter what. And so to the extent we need to reinvest more of our free cash flow into investments and capital allocation decisions that make sense for the business, we'll do that. If that means putting to the back burner some of our share repurchase initiatives, so be it. As long as we're focused on doing the right thing for the business, we'll do that and making sure that we're operating as a stand-alone business across the board. We're of the opinion that you never say never to anything. So to the extent that there was something interesting that came up or some type of transaction that made a lot of sense, we're always willing to listen to outside parties and pick up the phone. But there's no initiative here to split up the assets to try and highlight the underappreciated value of certain of our footprint here in order to try and maximize value in the very short term. This business has gone through a slight flutter for 3 or 4 quarters on its gross add numbers, and that's it. So we feel very comfortable in the ability for us to recover those losses. We've got all the initiatives in place to do that. Our October numbers were in line with our 2018 and 2019 October numbers. It's early days. Our November numbers look good as well. And it's just about executing. So we're very focused on execution here and we'll see about any of the other noise that may come into the system when it comes to our -- relative to our balance sheet or strategic initiatives.
Operator: Your next question comes from the line of Jonathan Chaplin.
Jonathan Chaplin: Wondering if we can talk about the aspirations for the fiber build beyond next year. Would you continue building at that million homes a year clip until you get all of the Optimum footprint down? Or are you just trying to get to the areas covered by Fios, which I think, correct me if I'm wrong, is about 3 million. And I guess to add to that, is there no opportunity to go faster on the build, Dexter, given that you're sort of pulling back on share repurchases? We're looking at guys with much less experience than you in deploying fiber in markets that are much more scattered than yours scaling up to 1 million a year next year. And wondering, if you can't go faster, is it a capital allocation decision. Is it because of labor constraints out there, supply chain constraints? What might be holding you back?
Dexter Goei: Look, Jonathan, on 2023, I don't want to anticipate what we're going to be doing. But it's clear that in our minds we're going through an accelerated CapEx initiative for at least 2 years, which is 2022 and 2023. That will, as you rightly mentioned, cover most, if not all, of our Fios footprint by 2023. We will have done other parts of the Optimum footprint which are non-Fios which are strategic for us as well. And we will have scattered a couple of hundred thousand plus of homes around the Suddenlink footprint, which are very strategic to us as well, right? So I'd anticipate us to be anywhere between 3.5 million to 4 million homes passed in fiber by the end of 2023. And then thereafter, we're just going to be opportunistic in terms of how we think about things. I don't think there's anything other than that. We clearly have worked aggressively to bring down our install times going into 2022. We think we have a material improvement in those install times, which leads us to accelerate our gross adds, including migration next year. And then we'll start seeing what we've been anticipating, which we're already seeing 80% better network resilience and lower incident rates on the network, on the fiber to the home relative to HFC in those zones. And if we see anything statistically close to that or even meaningful around those numbers, yes, we'll maybe revisit our CapEx and think about doing more. But right now, very, very focused on getting to that 3.5 million to 4 million homes as quickly as possible, getting the benefits of the OpEx savings, better customer experience and longer-term CapEx savings. And thereafter, we'll look at it from there. In terms of our ability to go faster, it really is a question of how much money you want to spend and resource constraints, right? So with a lot of people fighting for the same resources, you can just get into a bidding war for resources because it's critical for you to spend no matter what you want to spend on building out faster homes. And there's -- in certain areas, it's really just resource constraints. So you are talking about scattered homes all over the place, but our Suddenlink footprint is very scattered. And so we're not looking to upgrade to fiber all over Suddenlink today. It's really about the tri-state area here. And the tri-state area, we compete against a lot of resources, right? There's ourselves. There's Charter. There's Fios. There's Frontier. So there's quite -- there's a couple of other operators out there. And so there's quite a few operators fighting for resources, plus all the enterprise businesses that are in this area that are fighting for fiber resources. So it's a little bit of a food fight from a resource standpoint, but we've got our internal resources that do a big part of our construction and maintenance and installation process. And we've got 2 or 3 longer-term serving subcontractors, which are raring to go here. We feel very good about our ability, putting permits aside, of being able to deliver 1 million homes next year.
Operator: Your next question comes from the line of Philip Cusick from JPMorgan.
Philip Cusick: A couple if I can. This year, we're going to do rolling price increases rather than a single major one. What's the status and track record of that? Are you still ramping up price increases? And at Goldman, you mentioned that ARPU might grow more slowly next year, but still in the mid to high single digits. Do you think that's still reasonable? And then second, on the Sprint deal, that $100 million in early termination with them, it sounds like they're walking away from the AirStrand. What does that do to your backhaul -- or sorry, your wholesale deal and your efforts in wireless going forward?
Dexter Goei: On the rolling prices, we're going to continue with that strategy. Historically, when we've done one large rate event and then people, in addition, have their rolling rate event that occur as they step up closer to rack rate levels over 2 to 3 years, people get hit with 2, sometimes 3 rate events historically. And that has been something that has been very troublesome for our customers as well as puts quite a lot of pressure on our care system. So we like the rolling rate action plan that we have. We will continue doing that into 2022. We've had the best retention of rate action in 2021 based on the rolling actions that we're doing. So we're going to continue doing that going forward. On the ARPU growth, listen, it's too early to tell where we're going to end up. As you saw, we're closer to 3.5%, 4% broadband growth here in the third quarter. And we'll see where we are for next year. Obviously, we've got a road map here that takes us to much higher speeds going forward, but maybe in 2022 as we are more aggressive promotionally driving for higher growth potentially in 2022, you'll see some more flattish ARPU on the data side. And then on the T-Mo side, this is T-Mo's decision to reposition some of its mid-band spectrum here for its, I'm anticipating, for its 5G strategy. This was part of the contract to the extent they want to take down the AirStrand that we were contracted to do that for them at these levels. And we've already been re-homed on the T-Mo network since the beginning of this year. The performance has been great. We're very happy. And the service levels have been great. The customer experience has been great. Hence, our churn levels have pretty much halved in 2021 and look to continue. What it does for our wholesale deal. Our wholesale deal remains intact. We've been in discussions, I think I've previewed this before with our partners at T-Mo for a more flexible deal for both sides. When we get there, if we get there, we'll announce something. But we're confident that ourselves and T-Mo will find something that's attractive for both of us and will continue our long-term partnership.
Operator: Your next question comes from the line of Craig Moffett from MoffettNathanson.
Craig Moffett: Dexter, I wonder if you could add a little color to your thoughts on the broadband market. Last quarter, you talked about weakness in market growth. And I think what a lot of people are trying to suss out, not just for you, but for the whole cable sector is, what here is competitive and what here is a function of whether it's low-end consumers dropping off, whether it's slower new household formation, whether it's something in the college markets. What are your thoughts looking across your footprint and the differences that you're seeing in competitive markets versus noncompetitive markets that give you insight into what's happening in broadband?
Dexter Goei: It's a good question because there's so many different, let's call it, geographic peculiarities depending on where you're looking at. But I think broadly speaking, it's fair to say competition is increasing across the sector as overbuilders pop up and as players, such as AT&T, start aggressively rolling out their own fiber networks. I do think that there is less activity out there, which is driven by, obviously, one is churn levels are lower, which is driving less competition for gross adds, which is leading to less gross adds in general. So there's less activity out there, which is impacting numbers. But net-net, the net numbers should be, by and large, in line with each other. It's just gross add numbers are lower than historic levels. And I'm not so sure that we're reverting back to as much activity on the gross add side as we have historically other than the fact that we are seeing more competition, I think, broadly speaking, in the sector. But our net numbers outside of the Fios zones are in line -- bang in line with where we are in 2018 and 2019. I don't think there's any peculiarity in the college markets worth talking about. Yes, we had a peculiar 2021 back-to-school. Obviously, the pandemic year was, you can't read any trends into 2020. But I think campuses, by and large -- if you've got teenage kids, Craig, I've been out there campus hopping and it looks like back to normal. So I think we are going into a post-COVID area pretty much across the country. Activity levels are high from a commercial standpoint. We're seeing it on the SMB side a lot. It's just I think we are seeing a little bit more competition out there. And I think given that nonpaid churn levels are coming down, we are seeing less activity on the gross add side in general. But net-net, net add numbers look solid in terms of following historical trends. And then you've got to look at each pocket of competition, one versus the other. I do think that some of the competition, at least in terms of what they're saying, some of the smaller players or some of the newer players that are -- or reformed newer players out there, I think their targets are ambitious in terms of the ability for them to build, the ability to get out there as quickly as they anticipate given the labor market shortages and how tight it is there in certain areas, given the permits that they have to go through. I'd be surprised if people start delivering upon their targets that they've been announcing verbally out there. And I do think some of the smaller player overbuilders are going to start struggling here on the capital side given that there's wage inflation, there's construction inflation, there's permit delays. ARPU levels are more aggressive. Marketing spend and media dollars are going not as far as before. Retail presences and local market engagement are important. And so I think the whole cost structure of some of these smaller players, which we don't necessarily run into across the board, is something that's a little bit challenging for them relative to some of the larger players who have got economies of scale. So it will be interesting to see how the market unfolds over the next 2 or 3 years, but I don't anticipate some of those guys surviving in the current format.
Operator: Your next question comes from the line of James Ratcliffe from Evercore.
James Ratcliffe: Two, if I could. First of all, just some housekeeping. Was there any cost associated with the Strand contract cancellation? And secondly, generally, it sounds like the underlying driver of the subscriber weakness has been that you guys had been losing out to Fios for gross adds in areas where you overlap with them. How confident are you that -- I mean, and building fiber in those areas would certainly bring you to product parity there, resolving the upstream issue. How confident are you that the additional share they've been picking up has been driven by product differentiation rather than just aggressive promotions and being cheaper?
Dexter Goei: On the housekeeping side, practically 100% EBITDA margin there, so very, very high-margin product on that. On the second point, listen, it's clear that if you look across our internal statistics, where we're seeing pressure is in our Optimum Fios zones. And everything outside of that is seeing a 2018 and 2019 growth levels. What has also impacted us is the lack of distribution where we've impacted ourselves about 60,000 gross adds in 2021 with our retail store depletion as well as some of our sales efforts depletion. But looking specifically at the Fios zones, there's a couple of things. Number one, they obviously have a mobile strategy in product and mind share, which is significantly higher than ours across the board. And they're extremely promotional on double playing both their fixed and mobile offerings together. Something that we have not been able to do historically, one, because we had an inferior product with the Sprint network, but also because as we were focused on our product portfolio, the double-play product portfolio and our ability to mix and match on the double play there was less of a focus. That is a priority on our list today and that we'll have something to show the market in the first quarter of next year. Outside of that, listen, we think that building fiber puts us in a superior network position relative to them. They are up and down just under 1 gig on their existing fiber to what effectively is fiber to a coax termination. They need to fix their fiber to the coax termination if they want to go to higher speeds. And we're going to be 10 gig ready effectively by the second half of next year across our fiber footprint and have a longer runway here of a product advantage and mind share. So we're repositioning ourselves to be able to duke it out on an equal, if not a better product portfolio going forward. And I don't think it's only going to be based on promotional offers, but I think it's going to be on customer experience and ability to -- flexibility in terms of the things that you can do. But they're a formidable competitor and we look forward to continuing to compete with them, but we think that what we're putting in place is the right strategy for us to compete on equal footing with them.
Operator: Your next question comes from the line of Peter Supino from Bernstein.
Peter Supino: I wondered -- first of all, I want to thank you for the detail on your net additions by brand and region. That was helpful. And on that note, I wondered if you could talk a bit more about Suddenlink. The strategy generally has been to offer very competitive introductory prices and high ongoing retail or normalized prices. And I wonder if that is sustainable with fixed wireless and fiber supply accelerating in a targeted way. And more specifically, if you could just comment on whether your view expressed last September for slower ARPU growth includes an assumption that ARPU growth in Suddenlink needs to slow down, too?
Dexter Goei: Yes. I mean listen, we continue to revisit, Peter, all the time our rate event actions on our customer base. As you can see, in terms of our pricing, currently, where we are at 300, 500 and 1 gig, we are aggressive not only in terms of headline prices but in terms of some of the extras that we're doing, whether it's OTT, HBO Max or gift cards or free installs or those types of things. And we'll look at the competitive environment for us to see whether or not we have the ability to push rate on existing customers going forward or not. It is clear that our focus on rate action going forward is going to be on the video product, not only maintaining parity as much as possible with pushing price increases from our programmers on to our consumers and giving them the choice there. But also focusing on the experience that our data customers are having and not pushing just right through them. So there will be markets, that is clear, where competition will be coming in, particularly fiber competition coming in, where we're going to be cognizant on ARPU rate actions there going forward. But today, we feel pretty good about where we're able to do things from a rate standpoint in which markets and how, that we're not previewing a slowdown, a material slowdown or a degradation in data ARPU, right?
Operator: Your next question comes from the line of Michael Rollins from Citi.
Michael Rollins: Two topics. First on the share repurchase topic. The guidance is for under $1 billion this year and you've done $800 million or so roughly year-to-date, I think you mentioned. So does that mean that you could or would or have repurchased shares in the fourth quarter? And then just the second topic, just taking a step back on some of the strategic priorities you mentioned earlier. What are your current thoughts on partnering in the industry to push the customer experience forward faster, drafting off of third-party innovation, whether it's for video boxes, applications, the WiFi experience. And have you given any further thought to the possibility of outsourcing or partnering for the video distribution side of what you do and then having Altice focus more directly on the broadband experience?
Dexter Goei: On the share repo, I don't think we're being cute. We just gave a headline guidance. I don't think there's any intention for us to be spending that extra $200 million here in the next 1.5 months. We've been supportive of our shareholders who have done block trades on helping underwrite that. So if that occurs, we'd consider that going forward. But that's historically been our trend where we've taken about 20% of any of the significant blocks that has come out from our shareholders. On partnerships, it's a two-edged sword. We absolutely like to work with partners and often piggyback on the work they've done and the expertise they have. The two-edged sword comes in when we try and modify some of the experience or the technical modifications, specifications or something to do with app integration onto a box or on our app that we need to go through a third-party partner. And we're always last in line to get the responsiveness from the respective IT teams and technical teams there, so we're a little bit handcuffed. So we pick and choose which partners to work with carefully and try to maximize our flexibility. Do it at the quickest pace possible at the right prices, right? So that's something that we're constantly reviewing. I'll give you an example. We obviously are looking to expand on our Altice or Optimum app experience on video and moving it on to more platforms, not just our own kind of Android box, but we've got a development with Apple TV that's coming onboard very shortly. And then looking to other platforms out there where we can start maximizing the availability of the Optimum video app over IP. In terms of disaggregating our video from our broadband, it's very difficult given our programming contracts and how those are set up to kind of separate those businesses. And clearly, when we lose the video product as part of our direct control, it creates havoc relative to our subscriber base in terms of the ability to bundle and the stickiness of our customers and the entire customer experience. So I would not be in favor of trying to disaggregate services that could create care experiences and technical experiences that are suboptimal for our customers.
Operator: Your next question comes from the line of Andrew Beale from Arete Research.
Andrew Beale: Can you talk about your network upgrade policies in your FTTH markets? Is there a speed tier or a product mix where the return equation might -- means that you automatically upgrade a customer connection to fiber? Or when do you keep them on DOCSIS 3.1? And how does this play along with the promos and mobile product improvements that you're thinking about into the balance of your future net adds with Fios in those competitive markets? And then one very quick housekeeping question on the $1.7 billion to $1.8 billion cash CapEx for next year. How much vendor financing will be on top of that? So what's the book CapEx going to be?
Dexter Goei: So on our fiber versus coax policy, we're not proactively migrating people. People have to ask to be migrated. And also, we use it as a retention tool, but we're not proactively migrating people. The experience has always been when you have Mr. Smith, who is very happy with his service, you don't want to mess with anything in his home nor do you want to go into his home and start maybe drilling an extra hole into his wall in order to drop your fiber connection. So we're not looking to proactively migrate people. I think there will be a time where people will start looking for a multi-gig service or really focused on their upload speeds where they'll want to proactively migrate. We see proactive migrations calling into the call centers in the hundreds today, not in the multi-thousand. But obviously, as we continue to be a lot more marketing-oriented around our fiber footprint, that will most likely accelerate. But today the policy is, don't touch what works and people will migrate at their own paces. In terms of promos today, when we're promo-ing fiber in your area and you've got coax, and for whatever reason, you can't get a fiber or for whatever reason, your configuration of your household makes it difficult relative to coax to get the best connectivity on your WiFi, the promos are equivalent on fiber versus they are on cable in terms of the price points for speed tiers. In terms of cash versus accrual CapEx, there's probably a $300 million to $400 million difference between cash and accrued CapEx in 2022.
Operator: Your next question comes from the line of Kannan Venkat from Barclays.
Kannan Venkateshwar: Dexter, just one question broadly on your top line growth trends. When we look at the industry as a whole, I mean, it looks like customer relationship growth is, for the most part, driving top line growth because of overall revenue per sub declining due to video. And therefore, when we look at your top line growth range in the past, I mean, the 1% to 2% kind of range you've done in residential, in order to get to that, your residential relationship growth would have to accelerate quite significantly as you go into next year and beyond. So when you think about the overall framework for growth, especially as ARPU comes under a little bit of pressure, is that something that we should contemplate for '22? Or is '22 a year where because it's ramping, your revenue growth might be a bit more subdued and it picks up in '23 and beyond?
Dexter Goei: Yes. I think that's right. I mean every percentage point of revenue based on volume is 50,000 adds, right, approximately. And so when you look at that and this year, we're seeing negative customer growth, but flattish to slightly up data growth. We're in a declining revenue trend in the back half of this year going into next year. But now we are seeing the early signs of better sales and gross adds in the fourth quarter. We anticipate that to continue going to next year. But the law of mathematics suggests that we are probably on the B2C side going to have negative revenue trends going into 2022, which goes into positivity back in 2023. The goal that we've always had was to go back to 2018, 2019 trends for 2022 in terms of data and subscribers relationship and look to get to triple-digit data adds in 2023. If we execute on our CapEx and we execute on the bibs and bobs of operational things that we're focused on, whether it be product or service or distribution-oriented, I think we've got no doubt that we should be able to hit those targets in 2022 and 2023 from a KPI standpoint, which will, one, address your volume-driven revenue growth commentary. And two, compound itself into 2023 nicely, which will drive both back into revenue and EBITDA growth.
Operator: Your next question comes from the line of Doug Mitchelson.
Douglas Mitchelson: Let me echo Brett's comments. Thank you for all the transparency and detail, Dexter. So a couple of cleanups and then a question. On mobile, just to confirm, you don't need new terms with T-Mobile to launch what you're planning to launch early next year. I assume that's the case, but just to confirm.
Dexter Goei: No. We don't need new terms. We both want new terms because there's a lot of cleanup post the merger and the DOJ, FCC language that both of us don't like working under that. And so we're looking to clean up something which is going to be mutually beneficial for both of us and we're well on our way on those discussions. But no, we can continue to do what we're doing without touching anything if we ended up there. But I'm almost certain that we won't end up there, that sometime in the next couple of months we'll announce a new partnership.
Douglas Mitchelson: The other cleanup was on strand mounts. Thanks for the revenue disclosures. What's the flow-through to EBITDA and free cash flow? Is that 100% margin revenue or is there...
Dexter Goei: Yes. It's almost -- close to 100%, right? That doesn't cost us that much to decommission the AirStrand.
Douglas Mitchelson: And then my question just on fiber. In the past, I think you sort of suggested on this call, you think about the build-out of fiber, there's a critical mass point where you start marketing fiber more aggressively throughout sort of the tri-state area. Are you evolving how you're marketing and selling fiber now? Or is that something a little bit farther down the line? In other words, is it really just the inbound coming on fiber and you offer -- on broadband and you offer fiber? Or are you starting to push fiber out into the marketplace in terms of sales?
Dexter Goei: I mean given that we're starting to finally hit relatively decent critical mass, if you were watching the World Series the other day, you can see our first fiber ads that we're having. And we're going to continue to start slowly but surely be much more aggressive on signaling fiber in the tri-state area. And so that marketing campaign is well underway, both from a local engagement standpoint as well from an advertising standpoint. So that will only intensify over the next 12 to 18 months as we continue to grow critical mass.
Douglas Mitchelson: Okay. My Altice fiber works quite well, but my awareness might have been a little bit higher than the average person.
Dexter Goei: You just have to watch -- if you were watching Game 6 of the World Series, I saw the ad several times.
Operator: Your next question comes from the line of Benjamin Swinburne from Morgan Stanley.
Benjamin Swinburne: Dexter, we've been talking a lot about fiber and a bit about wireless, also Verizon's sort of bundling strategy. What do you think is a realistic expectation for us to have about your wireless ramp in '22? I know you're going to be opening new stores. That takes time. You got to obviously get the product and pricing right. What should we be thinking? And is that a tailwind to broadband net adds in '22 or do you think it takes a little bit longer? I'm just wondering if you could talk a little bit about your expectations so we think about it the right way. And then you guys have been running above your leverage target since you IPO-ed. And I saw it again in the release today. And I guess I figured I'd ask. This time, are you guys planning to get down to that level? And that's more of a priority than maybe it's been in the past, where you were obviously very comfortable living above it. I figured I'd take a swing at that one since clearly the buybacks have slowed recently.
Dexter Goei: On the first question, listen, we've got the product offering in place. We've held back on the marketing on mobile. We've held back on the marketing of fiber as well as we want the customer experience, particularly the installation process, to get better. We think we've halved our installation process timetable, and we started opening up a lot more quota for fiber installations going forward. So we're ready for a significant ramp-up. Where we're doing probably about 4,000 net adds in fiber today per month, we anticipate probably averaging closer to 10,000 a month next year, if not more. And on the mobile side, where we have been basically pretty much flat all year as we've just been focusing on getting our churn levels down and our customer experience, we're opening up 25 stores in the next 2 months, 3 months by January, and another 50 stores in the third quarter of next year. So that whole retail distribution side of the business, which is critical to mobile, is ramping up significantly in 2022. And if you look at kind of how we're thinking about the smoothing out of our subscriber growth next year, whether it be on broadband or on mobile, first and third quarters tend to be weaker quarters and second and fourth better quarters. But you'd anticipate to see a back end of the next year as being a nice ramp up for us. And as we go into the momentum of all the capital spend going in 2023, which are really targeting that triple-digit data growth, and we'd anticipate that dragging mobile along with it as well in terms of our ability to drive further mobile growth. On swinging for the fences on our leverage, maybe I'll just hand it over to Mike, who has been so silent.
Michael Grau: Yes. So Ben, thanks for the question. Listen, we've reiterated our leverage target, and we've always pursued that. There were, as we noted in some of our prepared comments, a couple of opportunities we've had over the past couple of years to do material transactions around shareholder returns, meaning the dividend in '18 and then the tender offer with the Lightpath proceeds in the beginning of -- at the end of '20, excuse me. So I wouldn't describe it as more of a priority going forward. We've always been mindful of it. There have just been some circumstances and market conditions that have led us to kind of live at the high end of the target range or maybe to your point, a little above the target, the high end of the target range. So we will continue to be mindful of all our stakeholders as we always have been historically, and we'll look for opportunities to get back into that leverage target range over the medium term. That really -- I don't think there's a material change in that regard.
Operator: Your next question comes from the line of Frank Louthan from Raymond James.
Frank Louthan: I just want to step back and just ask kind of conceptually. What sort of changed with the uptick in the CapEx? I mean you're going along, you're already building a lot of fiber. The Fios plant was already in place. There wasn't like a competitive change there. But what shifted that you felt you needed to make, that you stepped on the gas that much? And is that going along with some of the operational changes that you're trying to remedy now?
Dexter Goei: Well, listen, not to go back to Product 101, but product, service and price is really driving customer experience. And I think on the product side, we feel as if we need to get the upper hand on product as quickly as possible and have not only the benefit from an OpEx and CapEx from a financial standpoint on a longer-term basis, but from a customer experience standpoint needs to be addressed as quickly as possible. And what better way to do it than have the best product out there and differentiating products. So I think we're still a ways away from competing fiber to true fiber in big parts of our footprint. And so we're going to have the upper hand for a couple of years and hopefully longer than that in terms of having a much better product experience and customer experience. And that's why if it's the right thing for us to be doing to the business. We have had our fits and starts on fiber rollout over the last 3 or 4 years because of the intricacies of the permitting process, particularly here in the Northeast is painful in the New York and New Jersey areas. But for some odd reason, Connecticut is not painful. And other areas in the U.S. is not painful either. So people able to execute large fiber builds in like Texas is completely different than being able to roll them out in the state of New York, which now the governor's office has a hand in the permitting process. So we're very focused on putting in place the best infrastructure which drives the best customer experience as quickly as possible in as many places that make sense for us to allocate that capital. And so that's the only reason. There's no -- if we had been able to execute on our plan as we had wanted to over the last 3 or 4 years, we wouldn't have to accelerate our CapEx. We would just spend a lot more historically. And we would be on a steady state over the next couple of years. But we need to ramp up over the next couple of years here to catch up with the underspent CapEx over the last 3 or 4 years.
Frank Louthan: So why not focus more the build outside of the New York area than, I think you said you're a few hundred thousand. But if it's easier, why not focus more there?
Dexter Goei: Well, it's easier, but it's in small pockets, right? So one of the things about doing large-scale infrastructure builds is ramping up teams to do it economically and efficiently over large parts of your footprint is the best way to do things. When you start hitting 50,000 homes here and there all over the place, it becomes extremely costly and very, very hard to manage and disruptive in many respects in terms of from an operational standpoint. So our biggest competitive threat today, and has been always historically, has been our competition with Fios. We've historically always been good ping-pong partners of back and forth 10,000 subscribers back and forth. They've got a product advantage today over us. We want to rightsize that product advantage and be offensive in the near term. And thereafter, we'll be thinking about where it is that we need to be offensive in other parts of our footprint as well. But there's no alarm bells going, which -- but we are going to look at certain markets in Suddenlink where we're going to sprinkle some fiber over the next couple of years. We'll probably do 200,000, 300,000 homes the next couple of years, and then figure out whether there's other smaller markets that we need to continue to drive fiber. But to your point, we're not ignoring our West market, our Suddenlink market. They're just not the priority today relative to our East market.
Operator: Your next question comes from the line of Steve Cahall.
Daniel Osley: This is Dan Osley on for Steve. On your accelerated fiber plans, you have over 1 million fiber passings today with roughly 5% penetration. I just wanted to know how fiber gross take rates have compared to your expectations? And whether this is giving you confidence to drive lower churn and accelerate net adds on your planned build?
Dexter Goei: Listen, I would have wished to have had more, but there are 2 things that have slowed down our fiber take rates and where we haven't been pushing it aggressively from a marketing standpoint. One is the install times, when you go through fiber to the home, requires an effective engineering work into your home. And that is obviously materially different than a coax install process. And the times have been 3 to 4x longer than a traditional HFC install. And we have clients who don't have the patience and it materially changes the economics if you don't do it within 3 or 4 hours or there's repeat installation required. And so there's a learning process that you have to go through to do true fiber to the home and deliver a good customer experience. We believe we're there and it's taken us a couple of years to get there. And so 2022, I think we're prepared to have a much quicker ramp of our gross adds on fiber. In terms of the customer experience, I think the customer experience has been great. Other than one instance where, we're on gen 8 in terms of our gateway. But our gen 7 gateway, which was initially deployed, has been unstable particularly on video. And so we are upgrading that experience on the gen 7, but the gen 8 plus the WiFi 6 extender experience has been phenomenal on both 1P and 3P. And so our churn rates, if you looked at our stats, our churn rates versus HFC on gen 8 have rapidly caught up with the HFC churn rates. And I anticipate them to be much lower than HFC churn rates next year already. And the gen 7 will have caught up on the churn rate statistics by the first quarter of next year as that stabilizes that platform. We're in the process of testing new codes. And that's going to be implemented, I've got no doubt, successfully in the next couple of months. So we've gone through all the teething pain on installations, on permits, on resources. And now it's all about the customer experience, which is why we're starting to advertise in spots. Obviously, World Series is high profile, but we're going to start blanketing the market on fiber Optimum. And we've got an aggressive budget in 2022 in terms of penetration numbers.
Operator: There are no more questions at this time. Turning the call back over to Mr. Nick Brown for closing remarks.
Nick Brown: Thank you, everyone, for joining. Do let us know if you have any follow-up questions. Otherwise, hopefully, see a few of you in the next few weeks as we're back in the office now. Thank you.
Dexter Goei: Thank you.
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for your participation. You may now disconnect.